David Hancock: Good morning to everyone. This is David Hancock, Head of Investor Relations. Thank you for listening to Nestlé's 9-month sales prepared remarks. Joining me today are Nestlé's CEO, Laurent Freixe; and CFO, Anna Manz. Before we begin, I would ask you to please take careful note of the disclaimer on Page 2 of our presentation. So just to frame the agenda for today's presentation. First, we will focus on the 9-month sales and updated full year guidance. Laurent will cover the high-level key messages before handing over to Anna to take us through the detailed commentary. Finally, Laurent will share some of his perspectives after the first few weeks in his role since becoming CEO. We will then move to our Q&A session. And with that, Laurent, I hand over to you.
Laurent Freixe: Thank you, David, and welcome to Nestlé. This is, in fact, the first results call for both of us and it's been a pleasure to work with you, Luca and the Investor Relations team. I look forward to our ongoing collaboration as we share our progress with the markets over the coming quarters and years. As David mentioned, I will shortly share some initial perspectives after my first weeks as CEO. But I will first take you through the key high-level messages from the 9 months sales before I hand over to Anna to cover them in more detail. Let me start off by putting our organic growth delivery in context. In an environment characterized by softening consumer demand, we delivered steady organic sales growth with positive real internal growth. Consumer demand has been subdued across many of our regions. In the third quarter, we saw softening demand and actions to reduce customer inventory levels. Another key factor shaping our organic growth this year has been the normalization of pricing following unprecedented increases over the prior 2 years. Our growth over the 9 months was driven by coffee, PetCare and confectionery. And I'm pleased to see Nestlé Health Science recovery going to plan with growth reaching a double-digit pace in the third quarter. While market shares for billionaire brands improved, overall market share for the total group was broadly in line with the first half. More work needs to be done to drive improvement here, and this is going to be one of my key priorities going forward. Given the consumer environment and our further actions to reduce customer inventories in the fourth quarter, we have revised our full year guidance. We now expect our full year organic growth to be around 2%, in line with current trading and our underlying trading operating profit margin to be around 17%. Underlying EPS growth in constant currency is expected to be broadly flat year-on-year. Let me now hand over to Anna to take you through the performance in more detail.  Anna?
Anna Olive Manz: Thanks, Laurent.  Let me begin by giving a brief overview of our 9-month sales. We delivered 2% organic growth with 0.5% RIG and 1.6% pricing. Net divestitures reduced sales by 0.3%, and these largely related to the joint venture for Nestlé's frozen pizza business in Europe. Foreign exchange impacted sales by 4.1%, reflecting the continued strengthening of the Swiss franc. Factoring all of these elements together, the group's total reported sales were CHF 67.1 billion. This next slide shows the trend in RIG and pricing since the first quarter of 2023. In the second quarter this year, we moved from price-led growth to RIG-led growth and we said at the time that this transition would not be linear. In the third quarter, we maintained positive RIG albeit at a lower level than in the second quarter. The RIG trajectory was influenced by softening consumer demand, particularly in the Americas and Europe and actions to reduce customer inventory, particularly in the Americas, with an approximate impact of 60 basis points on the group in the quarter. At the same time, pricing has continued to normalize across most categories following 2 years of significant price increases. In the third quarter, there were decreases in PetCare and dairy as well as increases in confectionery and coffee, linked to higher input costs. Turning next to the performance by zone. In the third quarter, Zone North America continued to see soft consumer demand and negative pricing, particularly in PetCare, frozen food and coffee creamers. RIG remained positive at 0.3%, but was lower than the 2.8% in the second quarter. As we flagged at the half year results, RIG has been impacted by the phasing of customer inventory related to promotional campaigns. This positively impacted the second quarter and negatively impacted the third quarter by approximately 100 basis points. Adjusting for that phasing, third quarter RIG is only slightly below the second quarter. Quarter-on-quarter, PetCare slowed due to increased promotional intensity, but along with coffee, continued to drive growth in the zone. Both PetCare and coffee delivered positive RIG and gained market share. On the other hand, our frozen food and coffee creamer businesses continue to be challenged by increased price competition and a value-seeking consumer. Across the zone, we're focusing on meeting consumer needs through price competitiveness, innovation and marketing. We continue to bring new products across categories with good traction in PetCare, coffee and water. In frozen food, some key product launches, including Vital Pursuit, started to hit the market at the end of the third quarter. In Europe, consumers are becoming increasingly cautious and are prioritizing affordability. This was particularly noticeable in Turkey, where there was a marked slowdown in our growth. In this context, retailer negotiations are tougher and we've experienced some temporary delistings in the third quarter, affecting several categories with an impact of about 50 basis points on RIG. Quarter-on-quarter growth slowed, particularly in confectionery and culinary. In the quarter, while slowing, the main contributors to growth were coffee and PetCare. Executionally, we're staying nimble and managing price gaps while focusing investment on our key brands, particularly Nescafé, KitKat and Purina. In the third quarter, Zone AOA continued to generate solid growth with acceleration in Central and West Africa as well as Oceania. This solid growth was despite pressure on global brands linked to geopolitical tensions affecting some markets as well as further economic slowdown in India and Pakistan. Most categories delivered robust growth at improved quarter-on-quarter, offsetting a slowdown in dairy. Within coffee, growth was driven by new product launches and geographic expansion, particularly through ready-to-drink formats. In culinary, growth was driven by Maggi. In PetCare, increased supply and competitive pricing supported an acceleration. And in dairy, the slowdown that we saw was exacerbated by the introduction of a new sales tax in Pakistan. The zone has continued to focus on affordable offerings, which grew high single digits in the third quarter. In our LatAm business, growth in the third quarter was impacted by softer consumer demand. In addition, the zone was affected by customer inventory reductions, which reduced RIG by approximately 130 basis points. Quarter-on-quarter, our core markets Brazil and Mexico slowed a little, but they continued to deliver solid growth. In aggregate, the other markets were flat to down. Confectionery, Nestlé Professional and coffee continued to lead growth, while our dairy and infant nutrition businesses saw a slowdown largely linked to Ninho. In a difficult economic environment, the zone is generating improved market share trends across most categories, particularly soluble coffee. In the third quarter, Zone Greater China continued to deliver solid growth in the face of ongoing difficult macro conditions. Consumer sentiment remained subdued, and this particularly impacted our out-of-home businesses. Quarter-on-quarter, the RIG improvement was driven by infant nutrition. NAN maintained its double-digit growth momentum, while sales growth for illuma improved against easier comps. The slowdown in out-of-home consumption impacted our food and professional businesses. Coffee and confectionery also contributed significantly to growth supported by recent product launches in ready-to-drink and snacking formats. Our dairy business continued to be a drag due to heightened competitive pressures in the category. Turning next to Nestlé Health Science. The turnaround is on track. We saw strong growth in the third quarter driven by a RIG with increased pricing. Our VMS business is delivering to plan and is now growing at double digit as we get back on the shelf. Market shares are also stabilizing and improving month-on-month. The category is growing at a high single-digit rate. Our Active Nutrition business is delivering positive growth with continued strong sales momentum for Orgain driven by new product launches. And our Medical Nutrition business delivered double-digit growth strengthening quarter-on-quarter, particularly in adult medical care products. Nespresso delivered positive RIG-led growth supported by continued momentum for Vertuo and the out-of-home channels. The U.S.  continues to be the key geographic driver, delivering mid-single-digit growth. In Europe, sales decreased slightly in a competitive environment. In this competitive environment, we continue to leverage the broader Nespresso ecosystem, which includes Starbucks by Nespresso and other brands. In the third quarter, globally, this ecosystem delivered a further 130 basis points of growth. Let's turn to a breakdown of our growth by category, starting with powdered and liquid beverages. Let me focus on coffee, which represents 85% of category sales here and was the largest contributor over the first 9 months of the year. Sales grew by 3.8% with improved trends across most segments particularly for soluble and ready-to-drink formats. Quarter-on-quarter growth in coffee was broadly similar. PetCare posted 3% organic growth driven by continued momentum for science-based premium brands. We saw continued RIG momentum, particularly in our cat segments, as we increase supply. Quarter-on-quarter growth decelerated with a negative contribution from pricing, although we continued to outperform the category and gain market share. Nutrition & Health Science delivered low single-digit growth. We've already covered health science, so let me focus on infant nutrition. It delivered low single-digit growth driven by NAN, our affordable offering LACTOGEN and our human milk oligosaccharide products. Prepared dishes and cooking aids reported negative growth. Within the category, we saw a robust growth for Maggi which was more than offset by the sales decline for frozen food in North America. Quarter-on-quarter growth slowed, mainly due to frozen food and temporary delistings in Europe for Maggi. Milk products and ice cream delivered negative growth as the sales decline in coffee creamers and ambient dairy offset a robust performance for dairy culinary solutions. Quarter-on-quarter growth slowed due to ambient dairy products in emerging markets. Growth in confectionery was mid-single digit with sustained broad-based growth for KitKat and key local brands. Quarter-on-quarter growth decelerated primarily due to temporary delistings in Europe. And finally, sales in water delivered low single-digit growth, underpinned by continued momentum for San Pellegrino and a rebound in Perrier supported by the rollout of Maison Perrier. Quarter-on-quarter growth moderated as we're still facing some supply constraints. Turning to full year guidance. In the context of softening consumer demand and further actions to reduce customer inventory in the fourth quarter, we've revised our full year guidance. We've delivered 2% organic growth in the first 9 months, and we now expect earlier organic growth to also be around 2%. As a result, our underlying trading operating profit margin is expected to be down slightly year-on-year at around 17%. Underlying EPS in constant currency is expected to be broadly flat year-on-year. Please also note, based on where exchange rates were at the end of September, FX is likely to have a negative effect for the full year 2024 of around 4% on group sales. As previously mentioned, we'll provide guidance for 2025 at the full year results in February. And with that, I'll hand back to Laurent.
Laurent Freixe: Thank you, Anna.  Coming into the CEO role, I'm in the fortunate position that I already know the Nestlé business in depth. I joined 38 years ago, and in my time, I have been market head for Hungary and for Iberia and then CEO of Zone Europe, of the Americas and of Latin America. I have been on the Executive Board for 16 years and led some important transversal initiatives with a strong focus on productivity. Starting from this position of deep knowledge of the business means that I have been able to move forward at pace since taking the role of CEO. In the last 46 days, I've spent my time into 3 main areas: engaging intensively with a wide range of stakeholders, sharpening our strategy and developing an action plan and then starting to put the action into that action plan. Interacting with colleagues and with external stakeholders is one of the most rewarding parts of my work. One of the many great assets of Nestlé, I would actually say our greatest strength, is our people. The intensive engagement in the last weeks has been a reminder of what a privilege it is to lead this great company. It has also allowed me to listen to a wide range of voices across the business from those in the heart of the center here in Vevey to the ones operating in the furthest parts of the globe. There is strong support for me and for my message, which is a great starting point. The teams are together with me. I've also been very keen to hear from voices outside of the company and have spent time with multiple stakeholders, including the CEOs of some of our largest partners and political leadership at the highest level in key markets. It is impossible to overestimate the power of listening. These inputs have been crucial to helping refine both the what and the how of our way forward. During my interactions, all of the things you see on this slide were confirmed as strength of Nestlé. At the top here is people and culture because it is so foundational at Nestlé. I said when we announced the CEO change that I'm deeply committed to Nestlé our purpose and values. And this commitment is something I've heard consistently shared in the last weeks. As the leading global food, beverage and nutrition company, we strive to be the best in everything we do with a long-term perspective. We have an unmatched category and geography mix; a very strong portfolio of iconic brands; and unique competitive advantages in our R&D, our manufacturing and our route to market. We have an incredible engagement with consumers, connecting with people every day and in every stage of their lives. And I'm proud of our leadership position in many areas, including sustainability. For me, what is exciting about where we are today is that we have an enormous opportunity to build on these foundations and accelerate performance. This is going to be a key focus of our Capital Markets Day in November. So I'm just going to give you a test here, but more to come in a few weeks' time. So what do I see as our biggest opportunities? One is consumer and customer centricity. Moving forward, we need to keep consumers and customers at the heart of everything we do. Related to this is innovation. Nestlé has industry-leading R&D capabilities. We need to ensure that what we develop and how we develop it is linked to consumer needs and the consumer journey. And we need to focus. My mantra on innovation is fewer, bigger, better. Another priority is investment. To drive growth, we need to restore our investment. This includes, but is not limited to, investing in marketing to support our brands. Importantly, that must not come at the expense of profitability. We need to enable investment for growth through unlocking efficiency savings and better resource allocation. Having led some of our product initiatives in the past, I'm convinced there is a lot more we can go for. As well as accelerating performance, we need to transform Nestlé for the future. This has 2 components. First is digitalization, a critical enabler for many things. We will become a real-time, end-to-end connected, intelligent enterprise powered by data and AI. The second part of transformation concerns sustainability. We have one planet, and we need to be mindful of natural resources. We must make sure our actions and investment have a meaningful impact. This was just a taste of what you might call the diagnosis of our opportunities. This will be the major focus of what I talk about at the CMD, so you will have to wait a few weeks to get more details. But in fact, we are not waiting to start putting things into action. I wanted to highlight 3 areas where we have already started to make progress. First is on alignment of the organization around the strategic goals. One of the benefits of all the engagement over the last weeks is that we have been able to get this strong alignment. We have had extremely productive executive team and Board sessions to collaborate together on this. The level of engagement and energy and the readiness to move forward have been truly impressive. Second, we have kicked off several projects around efficiency and productivity. These will help us to unlock the savings we need to fund the increased investments. And third, we have designed and announced some important changes to the organization that will bring simplicity and focus and increase agility and accountability. As you will see from today's separate announcement, we are making several changes to the organization. I will highlight 4 of them here. First, on the zones, we will reduce from 5 zones to 3 zones: Zone Americas, Zone AOA and Zone Europe. All 3 zone heads will be based in Vevey, and colocation will strengthen the connections across the executive leadership and provide greater alignment. Second, for what we call the globally managed businesses or GMBs, both leaders will sit on the Executive Board and report to me as CEO. This reflects the scale and importance of both businesses. Third, we are simplifying the structure for our coffee brands. This will bring greater alignment and remove duplication. And finally, the critical areas of digitalization and sustainability will both now report directly to me, given their strategic importance to Nestlé's future and our transformation agenda. With these organizational changes, all the leaders of key units driving our performance and transformation will now report directly to me. Taken together, the changes will give us a smaller, more effective Executive Board with clearer ownership and responsibility. So to wrap up for now. We delivered continued steady growth through the first 9 months in an environment of softening consumer demand. We have achieved positive RIG in a backdrop of flattening prices. We have updated our full year 2024 guidance to reflect current trading and revised expectations for Q4. And we are moving at pace to accelerate performance and transform Nestlé for the future. That concludes our presentation on the 9-months results. In the coming days, weeks and months I'm very keen to engage with you to share our plans on how we will perform and transform, and of course, listen to your feedback.  Thank you.
David Hancock: Thank you, Laurent. [Operator Instructions] We will take our first question from Guillaume Delmas from UBS.
Guillaume Gerard Delmas: I've got 2 questions. The first one is on your portfolio because, Laurent, I don't think you mentioned in the press release or in your presentation this morning Nestlé's aspiration to achieve 4% to 6% organic sales growth over the medium term. So wondering if it is because you are questioning the ability of your current portfolio to deliver that 4% to 6%? And if that were to be the case, given how critical 4% to 6% is to deliver the Nestlé virtuous model with moderate margin expansion, I mean, could you be signaling that more portfolio rotation and here, I mean more asset disposals, are required for you to be able to deliver that virtuous model? And then my second question is on your 17% operating margin guidance for this year. So that seems to imply around 16.5% for the second half. I mean, maybe could you walk us through the key moving parts that you anticipate for the second half of this year. So gross margin down, I would assume advertising and marketing significantly up as a percentage of sales? And also, any indications on when the benefit from your productivity savings should start coming through and help you offset the gross margin pressures and the necessary reinvestments. I guess, after is do you see 16.5% operating margin as trough margins? And when would you expect the timing mismatch between investments and productivity savings to ease?
Laurent Freixe: Thanks, Guillaume.  Thanks very much for the questions.  Very clear.  So I'll kick it off and then hand over to Anna for more detail. On the portfolio, and we review permanently the portfolio, which we are doing at this point with a specific focus on the Capital Market Day and '25 and beyond, I can confirm that the portfolio is very well positioned to outperform the food and beverage industry. We got confirmation from all our analysis, internal, external. So I'm pleased with the portfolio, generally speaking, which doesn't mean that there is no room for improvement, and bear with us for a few weeks until the Capital Market Day. But portfolio is strong, offers ample opportunities either through the global categories like pet food, PetCare or the overall area of nutrition. There are so many nutritional needs globally around affordable nutrition, around healthy longevity, around weight management, for instance, where we not only can play a role, we already play a role and can play a greater role going forward. So on the portfolio, I'm strong. Again, with a view that we can certainly keep strengthening. And I would like to mention as well, which we didn't do and we would like to highlight that in the Capital Markets Day, the fact that next to the global leadership positions that we got with coffee, PetCare and nutrition, we got also local original pockets of excellence. Those businesses, we don't necessarily talk about with the required frequency that make Nestlé. Nestlé is both a global place where we have global leadership, but also excellent pockets of performance regional and local. On the margin, the guidance is connected to the adjustment in the organic growth essentially. But for more detail, let me -- and I can confirm that, indeed, we want to invest. I believe that investing is critical to our growth. Driving category growth, innovating, gaining market share require investment. So we want to be very, very strong and not wait on that side. We want primarily to finance through productivity initiatives that we strengthened. We had many ongoing, but we launched a few additional. And beyond that, of course, there might be a timing question, but let me hand over to Anna for more details.
Anna Olive Manz: We will come back with more detail at the CMD on our specific plans, and then we will give you 2025 guidance in February.
David Hancock: We'll take our next question from Warren Ackerman at Barclays.
Warren Ackerman: It's Warren here at Barclays. I've got a couple as well. The first one is for Laurent. When you look at your market share picture, Laurent, what is your assessment? How much of this is market share versus how much is the wider category slowdown? I'm just interested in what is the weighted food and beverage category. And you talked about market share on billionaire brands, but what's the market share on the entire Nestlé portfolio? If you can maybe sort of disaggregate those 2 moving pieces. And then secondly, on Europe. European RIG was negative in Q3. It stepped down from Q2. You called out Turkey was a big call-out. How big is Turkey and how much was it down in Q3? And what is driving this caution of the Western European consumers? Any countries that you can call out? And do you expect this slowdown in Europe to be as prolonged as we've seen in the U.S.? And then just, finally, on the inventory reductions in Q3, what categories are we seeing those reductions in? And do you think that continues into Q4? And if so, at the same rate or higher or lower? And then does Nestlé Health Sciences, the 10% RIG, does that include inventory rebuild? Just trying to understand those numbers that you've given. You've talked about reductions, but I imagine there's a rebuild in Health Sciences.
Laurent Freixe: Well done, Warren.  You managed to put 4 questions in the 2-question slot. But those are obviously very, very relevant questions and we understand where you come from. On the market shares, of course, a very, very critical question, how are we doing compared to our categories. I would say that this is the story of the glass half full or half empty. So we are holding or gaining in more or less half of our categories and we do marginally better on the billionaire brands. Is it good enough?  No, it's not good enough. Am I happy with that? No, I'm not happy with that. And I believe that we need to raise our game. We need to clearly gain in the majority of our business sales, and this requires investment. So we come back to the same story, if you want to gain share and drive category growth, we need to invest. The call for investment is compelling. We need to restore investments and be very choiceful so where we put those investments, core categories, core innovations. So you will hear a lot of talking about focusing on the core and making sure that we make an impact at scale. For the Western European consumer, what I can say is that -- and I think it's same assessment more or less everywhere. First, economic growth is not buoyant. Second, yes, prices have kind of -- price inflation has kind of normalized. But you should never forget that even if it's 1%, 2%, it's coming on top of a very long period or a relatively long period of high inflation. So those 1%, 2% are coming on top of a series of price increases. And the perception for the European consumer, and it's not only the European consumer, again, is that food prices are higher. And of course, there is pressure from other components of the household budget. There is a cost of money, mortgages and so on and so forth. So there is a lot of pressure on the consumer wallet and this perception that food prices are high. That explains, largely the softness, and then you can have a few specifics like promotional activities, destocking or related to the negotiations, some temporary delistings that can explain the softness in Q3. I will maybe leave the rest of the questions to Anna. Maybe she will complement those two, Anna?
Anna Olive Manz: Sure.  So question 3 was inventory -- customer inventory reductions that we've seen in Q3 and which categories and how to think about Q4. So just to remind you of the context here. So what we've said in Q3 is we've had a 60 basis point impact in the quarter associated with some reductions in customer inventory. 30 basis points of that you know about and that we flagged at Q2 that the timing of promotions in the U.S. would have a Q2, Q3 impact. The other 30 basis points we saw predominantly in Latin America as we've seen a weaker consumer environment and as the cost of money has increased there. These are impacts across all categories. There isn't a specific category to call out here. This is more about our relationship with retailers and making sure that we have a really good, healthy end-to-end model. In terms of Q4, I would think about it at a similar level as Q3 as a way of framing it. And then your last question was around the degree to which the strength in Nestlé Health Science is around rebuild of stock rather than underlying performance. What I'd say there, so we've seen double-digit growth or around 10% growth in Nestlé Health Science in the quarter. And we're getting back on shelf and we're seeing -- in recent weeks, we're seeing share gain again. We're starting to see the level of momentum that we would expect in that business, which is great. There is a little bit of stock rebuild, but actually, this is more about getting back on shelf and selling again. And I would point out that we're lapping relatively easier comps a year ago. But really nice to see the VMS business on track.
David Hancock: Thank you, Warren.  Our next question comes from Patrik Schwendimann at ZKB.
Patrik Schwendimann: A question for Laurent. What is your biggest concern for '25 and midterm internally at Nestlé and regarding the consumer and retail environment? That's my first question. Second question, in terms of marketing spend, what is really needed here in the future? I mean, in H1, you had 8.1% of sales. What do we have here in mind for '25 and midterm?
Laurent Freixe: Yes.  Thanks.  Very good question, of course. More than being concerned, facing the reality that the consumer is soft, that economic growth, generally speaking, is not buoyant in most parts of the world. So that's a reality. And I'm really focused now on putting the organization on its toes and making sure that we sharpen our pens with our critical initiatives on core brands and innovations and that we resource the core brands and the core innovations with the right amount of investment. That's one aspect. The second aspect is the transformation, and I want to accelerate the digitalization and make sure that we make also the right investments with the right returns on the sustainability agenda. So those are my focus areas. This is where I'm putting my energy. The environment is what it is. It's not the most supportive. But whatever the environment, we can grow our categories, we can connect better with our consumers, we can innovate better, and ultimately, we can gain market share. If the pie -- if I take the proxy or the image of the market being a pie, if the pie is not growing, we can always take a bigger share of the pie. This is what I and my teams are determined to do and that requires, again, investments, so we came -- we come back to the same story. So maybe one element that we have in mind as well is that if prices have normalized, there is cocoa and coffee prices now back or even reaching historical highs. I'm thinking of coffee robusta, for instance. So that's one of the things we will have to manage, mindful of 2 elements, our margins and our market share. It's not just one of the elements that we want to focus on. And in terms of the timing and the degree of investment, I want to make sure that we restore in one go at the right levels of PFME. There is no time for procrastinating or for incremental increases. I have in mind that we need to make a big step now or the step required to restore to historical levels.
Patrik Schwendimann: This means how much then, historical?
Laurent Freixe: We'll come back in more detail at the Capital Market Day. Have in mind the pre-COVID levels. I hope this answers.
David Hancock: Thank you, Patrik.  Our next question comes from Jon Cox at Kepler Cheuvreux.
Jon Cox: Yes.  Jon Cox with Kepler Cheuvreux. A couple of questions where, Laurent, you seem to maybe sort of duck in this 4% to 6%. Maybe I'll ask about it in a different way. Do you think what we're going to see for the next couple of years is more likely what we saw in that pre-COVID period when clearly because of the very weak pricing, volume growth sort of okay, we should be really thinking about a midterm guidance of 3% to 5%, something like that, rather than 4% to 6%. The other question then is on the -- this sort of like destock. How much are you in control of this destock, i.e., it's because you put product in and then you're promoting? And also, I get the impression you're trying to clear your own products that are in warehouses of retail. And then maybe in Latin America, it's slightly different that actually is Latin American retailers who were basically not ordering because they're worried about weak sales and you saw a destocking there. And I'm just going to go for a sneaky add trying to copy Warren. Just on the price weakness in the U.S., I understand it's to do with the PetCare and you've got a new facility, you're ramping that up, but it seems now you're chasing lower price points. Is that a strategy we should think about you, Laurent, going forward rather than the sort of focus on premiumization we've seen under the management team for the last decade or so?
Laurent Freixe: Well, those are sharp, and of course, very relevant questions.  So thanks, Jon.  On the growth profile of the portfolio, view is unchanged. We'll come back in more detail at the Capital Markets Day. This will be the focus. We'll give you a broad view on the portfolio, not just the global categories like, once again, coffee, PetCare and the broader nutrition space, but give you a flavor also for those local and regional pockets of excellence. So the message there is that the current portfolio, which can always be improved, of course, has the potential to outgrow the food and beverage category by margin. All the data points are pointing out to that. So bear with us, we'll come back in more detail. That we are entering now a period of lower inflation like pre-COVID after a period of very, very high inflation, it's a good question mark. I think the overall scenario is probably, if I'm thinking economic scenario, a period of stagflation, maybe, as we see some prices still continuing to grow. So but give us a little bit of time and we'll come back in detail, Capital Market Day in early 2025. On the destocking, there are 2 elements there. One is our own concerted actions to try to balance out the sell-in and the sellout. What -- the sellout is what -- the consumer offtake, what do they buy from the retail outlets. And the sell-in is what we sell to the customers. It's always important to keep that in balance. It's not good, it's not healthy to have too much inventory in the trade. The products are aging. We are mindful of the freshness. If we think of quality, fresher products will always sell better. So that's one element of the equation. And in a context where there is a bit of a slowdown or softness, let's say, we need to be mindful of that. Then the other component of the destocking is the retailer's action. You know that money has a cost. Didn't have a cost for a while, now money has a cost. There's a high cost in emerging markets due to high interest rates. Some -- the banking sector has been very reluctant to finance working capital at the retailers and the retailers are focused also on the cash flow. So logically, they have been mindful -- and more than mindful, active, at managing their stocks and reducing their stock. So that's one of the phenomenons that we have seen. On pricing, generally speaking, we have 2 things in mind. Of course, we want to premiumize. We believe that premiumization is a tremendous opportunity across categories, offering better products, more services, more convenience, better taste. That's a big source of the innovation drive. But we are also mindful of affordability. I think affordable nutrition, affordable diets is a big topic. We see the polarization in the society continuing, it's even more acute in times of crisis. So you've got people that are ready to spend on food and are eager to find -- or to get customized experiences. So we want to cater for that, of course. But the overall topic of affordability is also so important. You can have the best product. If it's overpriced, it will not sell. So we are mindful of that element of the equation. Anna, any additional comments?
Anna Olive Manz: Maybe I'll just comment on U.S. PetCare specifically. Maybe just to put this one in context for you. So over the last couple of years, there's been the best part of 25% price inflation impact here in the U.S. So what you're seeing this year is somewhat a normalization of the category, but we haven't seen the same level of input cost increase. You see retailers with challenged margins and we're seeing promotions come back to the level that they were at in the category pre-COVID, lapping a period where there was no promotion. And on top of that, you've got new capacity coming into the market from all players. And that means that there's a greater range of SKUs, including some of the premium SKUs, coming back into the market. So it's a bit of a moment in time where you've got a sort of tough comp and consumers able to buy on promotion and also move back into some of those SKUs that weren't available when there were capacity constraints in the market. So I wouldn't look at it as any change in strategy. It's just a moment in time for the category. Actually, from a consumer perspective, the propensity to treat pets as a member of the family is absolutely unchanged and is actually stronger in the younger generation coming through who are more likely to own pets as well. So we should continue to see that strong premiumization trend coming through the category looking forward.
David Hancock: Thank you.  The next question comes from David Hayes at Jefferies.
David Hayes: I'm going to use one of my lives just to follow up and then I have one question. So on the follow-ups, you talked about the category growth and outperforming the category growth. But can you just tell us what you think the food and beverages' category growth is in the medium term? And then also you talked briefly about portfolio review. But just to be clear, is the action plan that you've started that you talked about in the preprepared remarks, is part of that a new portfolio review and that we might expect to hear more from that, either at the CMD or into next year? And the real question is, I guess, just for Anna. Anna, on the 22nd of August, I think it was when we had the Chairman-hosted call, you felt there wasn't a need to change guidance for the full year from a sales perspective. I guess, the question therefore was September deteriorating much more than you were seeing at the end of August, particularly the delistings, that they kind of happen later in the year? Or is there maybe a question around management information systems? Is that something that as you've joined the company, you'd like to see clearer, more detail, quicker data about how the company is performing in different geographies, different categories?
Laurent Freixe: Yes.  Thanks, David.  As regards the growth profile, what we have seen in the last years and continuing this year is that the growth has been very much connected with pricing. In periods of high inflation, we have seen in the last couple of years high single-digit growth. At the time of normalization of prices or flattening of prices -- of price increases because prices remain high, we see more low single-digit growth. The truth is probably in the middle and will depend on the pricing environment. This was the previous question, was pointing to that. It's a very, very relevant observation. So we'll come back to that in due time, of course, but we believe that there is potential for growth across the portfolio as I was pointing out to it. When it comes to the portfolio, I'm just highlighting that we have a very strong portfolio. We have excellent pockets of leadership, either global, regional or local. This is what matters in the right categories. But as always, there might be parts, which are weaker or offering maybe less opportunities for the future. So I'm just pointing out that, yes, I'm broadly privileged to have such a portfolio, but that there are parts, which need a review, reshape or maybe finding another course. And we'll come back to that, that will be part of the Capital Markets Day presentations. Anna, you want to complement?
Anna Olive Manz: Yes, sure.  So at the half year, when we gave guidance, we said that we -- to deliver on it, we would need to execute on our plans and we would need the consumer environment to remain unchanged. When we were together in August, we had July data. And at the time, we were talking about a strategic leadership change. What I would say we have -- and at that point, we didn't have enough data to be clear on the trends in the categories. But I guess, what I would say is we have seen a slowdown in the U.S., particularly in pet, and some of the concerns around the elections are playing out. We have also seen that slowdown play through to LatAm and that has accelerated through the quarter. And I think there's 2 other things we've also seen that we expect to continue into Q4 that impact our view on guidance. One is the temporary delistings in Europe. We're seeing a much more challenging environment to get price increases through, and that's causing some of this sort of disruption that we're seeing. And then I think the other piece is the inventory where it's a combination of the cost of money in LatAm, but actually actions we are taking and will take in Q4 to make sure that we have a healthy end-to-end sort of supply chain through to retail. So those are the things that have changed since that point in time and why we think the right guidance is the guidance that we give today.
David Hancock: Thanks, David.  We'll take the next question from Sarah Simon at Morgan Stanley.
Sarah Simon: I have 2 questions. So just to follow up, Anna, you said earlier that we should assume a similar-sized inventory impact in Q4 as in Q3. So does that -- I mean, obviously, you won't have the spillover from the Q2 point. I'm just wondering, so does that mean you think that the inventory actions are kind of bigger on an underlying basis in Q4 than in Q3? And then the second question was just on sort of stepping up the investment. Just to clarify, you're not doing any of that in Q4, right? This is sort of kickoff in fiscal '25?
Laurent Freixe: Yes, I can take the latter one, Sarah. It's -- for 2024, we keep our plans. And as you know and as you will see, we will have increased our marketing investments, the investments behind the brands. So we are steady with that. We keep it as planned. And as from 2025, we want to raise our game and bring back the historical level of investments behind our brands and not wait and not do it incrementally, but do it in one go. So that's the spirit and that's the plan.
Anna Olive Manz: Yes.  So on inventory, Sarah, you're absolutely right. The underlying customer inventory reduction in Q4 is bigger because it will be of a similar size in aggregate to what we've seen in Q3, and in Q3, about half of it was quarter-on-quarter. So yes, you are correct in that assumption. And then just on Q4 investment. I think our focus in Q4 is really embedding some of those executional metrics in the business that help us really ensure that we are investing in the right ways to deliver the maximum return so that we really have the execution where we want it to be before we then start to step up investment.
David Hancock: Thanks.  We'll take the next question from Celine Pannuti at JPMorgan.
Celine Pannuti: Maybe one quick follow-up, Laurent. You said that you want to step up A&P in one go to the level it was pre-COVID. Could you tell us what's the level pre-COVID, please? And then my 2 questions. First, in terms of gross margin, Anna, you mentioned that the ballpark of what you had guided at H1 remain. So I presume we were happy with, at a time, 46.7% gross margin for fiscal year '24. Could you talk about what kind of COGS inflation you are seeing in H2? And given your hedging policy, am I right to believe that we will see COGS inflation in '25? And should we expect, as we've seen in the past, that this would lead to gross margin pressure for '25? And then my second question, which is basically a follow-up on that one. How are we expecting to -- how you expect to manage that COGS inflation with pricing and RIG given that you mentioned that the pricing environment has become tougher? I wonder whether -- could that lead to maybe more margin pressure -- gross margin pressure than we have seen in the past if you are unable to recover all the inflation?
Laurent Freixe: So let me start and I will complement. On the pressure points, and I want to highlight that, by the way, investments is not just A&P. We want to make sure that we invest in all the dimensions of the value equation and achieve superiority at every step and every level. So that requires investments across the board, plus invest in the transformation.  . That's the reason why we raised our game and we'll give more detail at the Capital Markets Day on productivity initiatives. So bear with us a little bit so, too, that we can walk you through in more detail on the steps that we are taking and the magnitude of the impact that we are expecting and how this will phase out over time. On the investments, I gave high-level guidance. Same, bear with us a little bit, be patient, but the message is that we are determined to reinvest at historical levels in all the critical dimensions of the value equation to achieve consumer preference. This consumer focus and customer centricity will be front and center everything we do. And we'll make sure that, again, it's not just a question of A&P investment. It's a question of achieving superiority at every step of the value proposition, at every step of the value chain. So that's where we are putting the energy, the focus, the emphasis to make our brands even more compelling and make sure that we set ourselves to win in the marketplace.  Anna?
Anna Olive Manz: Yes.  So on gross margins, so you're absolutely right that since we were last together we've seen further input cost change in particularly coffee. And those numbers move around day by day, so I'm not going to try and give you guidance on input cost and gross margins because at the moment it changes one week to the next. But just to recap what I said on 2024, and I'm largely going to say what I've said to you before. Yes, we will see further cost to come through -- input costs come through in the second half. And that's why we would expect the gross margin to be down half-on-half, but overall the full year margin to be up for 2024. Now as I look forward to 2025, you're absolutely right that in periods of input costs going up, there's often a lag between those costs coming through and our ability to take price, given that there are certain pricing cycles that retailers work to. And so that can lead to a short-term depression in gross margin because of that sort of timing difference. You will see us at to take prices as input costs go up, and then we'll evaluate how the consumer responds and make sure that we're monitoring that. And if we have pockets where the consumer finds those price increases hard, then we will do what you see us doing already, which is reducing prices to make sure that we're staying within reach of the consumer, but innovating to make sure that we have an offering and at appropriate margin that then delivers on that consumer need. So wrapped together, that's the total picture.
David Hancock: Thank you.  We'll take the next question from Tom Sykes at Deutsche Bank.
Tom Sykes: Just firstly, on the nature of how you expect to guide going forward. Obviously, the guidance has sort of been top sliced over the course of this year. So how -- by nature, how conservative do you expect to be? And will there be a bit of a difference between '25 where you may be a bit more explicit about where particularly the margin would go and then maybe a little bit vaguer and broader from '26 onwards? And then also just on accounting now that you -- sorry, Anna, that you've been there longer. Do you expect any changes in accounting policy or interpretation of any policies to affect the margin in '25, please, or the '24?
Laurent Freixe: Thanks, Tom.  On forecasting and on the guidance, what I would say is that we want to be realistic. That will be the guiding principle. We want to be realistic, face the reality and give you a guidance that we believe is achievable and hopefully beatable being realistic with what are the facts, what are the trends and how do we see the business developing. So that would be my comment on that. And you will see how this unfolds over the next quarters and years. And on the more specific regarding accounting, Anna?
Anna Olive Manz: And I have to say I wholeheartedly agree with your realistic guidance point. On accounting, no, no specific changes in accounting policy.  It's all robust.  And actually, I'm very focused on driving business performance rather than changes in accounting policy impacting margin.
David Hancock: Thank you, Tom.  We have time to take one final question. We'll take next from Jeff Stent at Exane.
Laurent Freixe: Jeff's on mute.
Jeff Stent: Can you hear me?
David Hancock: Yes.
Laurent Freixe: Not anymore.
David Hancock: Then Jeff, we might need to follow up with you after. So we'll take the final question then from Jeremy from HSBC.
Jeremy Fialko: Just a couple of business areas that you haven't commented on, I'd just be interested to hear about it. So first of all, China and milk formula are actually quite a good result there. So perhaps talk about what's going on in the market, the overall dynamics that you're seeing there? And then another point that you've made mainly in AOA is this point about hesitancy towards Western brands. Is there any way either you can give some sort of quantification as to what the rough impact of that might be? And then also, when do you think that, that will be effectively -- even if it doesn't reverse, when you think it might be sort of reflected in the base so that it doesn't act as a drag on your performance anymore?
Laurent Freixe: Yes.  On the last part of your question regarding AOA, there is nothing really new there or there is nothing really worsening. We are just pointing out that what we saw in the last quarter continued in the Q3 and is likely to continue. On the impact and on China, Anna?
Anna Olive Manz: Sure.  So maybe just to finish on that one first. So as we come to the end of this year, we start to lap the impact. So that will make things easier going forward. And I think what we've said around this is AOA should be a mid-single-digit business and that's the way to think about things. With respect to China, yes, good performance in the quarter on infant nutrition. What we've seen is NAN continued to do very well with strong science-led solutions for babies, which have specific allergies or challenges, and so ongoing very strong performance there. And we're also seeing good improvement in the illuma brand as we continue to kind of work on driving that brand across China. I would point out, though, that the comps are a little bit easier, too.
David Hancock: Thank you.  That concludes our Q&A session for today. The Investor Relations team will be available for follow-ups during the course of the day. And I'll pass to Laurent for any closing comments.
Laurent Freixe: Thanks, David, and thanks, Anna. As I said at the end of the prepared remarks, thanks for joining us and for the valuable dialogue. I look forward to speaking with you in the coming days, or again, shortly at the Capital Market Day in November.  Thank you.